Operator: Welcome to the Wynn Resorts, Limited fourth quarter 2024 earnings call. All participants are in a listen-only mode until the question and answer session of today's conference. Press star one on your touch-tone phone. Record your name, and I will introduce you. Please limit yourself to one question and one follow-up question. This call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Cameron-Doe: Thank you, operator, and good afternoon, everyone. On the call with me today are Craig Billings and Brian Gullbrants in Las Vegas. Also on the line are Linda Chen and Frederic Lubosuto. Please note that we published a presentation to provide more color on the company and recent performance ahead of this call. You can find the presentation on our Investor Relations website. This will become a regular fixture along with our earnings release going forward. I want to remind you that we may make forward-looking statements on the safe harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Craig Billings.
Craig Billings: Thanks, Julie, and good afternoon. As always, thank you for joining us today. We've been very active over the past three years making innumerable positive changes to and investments in our businesses in Las Vegas, Boston, and Macau. Changes in how we market, in our underlying technology, in how we deliver service to our best customers, in how we build and program food and beverage and retail, in how we program entertainment, in the production of our own unique events and in how we control expenses. All of these changes made in pursuit of further distancing ourselves from our competitors. And you can see the results of these efforts in our 2024 results. Yet another record year of adjusted property EBITDA including another annual record in Las Vegas. Operationally, we are stronger, more nimble, and more results-focused than we have ever been. Meanwhile, we are expeditiously developing what I believe to be the most exciting development project in the industry in the UAE. A project that will ultimately produce meaningful EBITDA and further diversify our business. The opening of that project coupled with a concurrent reduction in the amount of CapEx we will be deploying in North America, will also mark an important inflection point in our free cash flow profile. Our future is bright. And it is this bright future coupled with the fact that our stock price continues inappropriately reflect the value of our assets that drove us to repurchase $200 million of stock in the fourth quarter and another $150 million thus far in Q1. While industry multiples remain suppressed, while growth capital remains focused on a narrow set of AI and tech companies, and until we believe Wynn Elmarjan is appropriately reflected in our valuation, we will continue to repurchase our equity because we believe the return profile on those repurchases is me. Now turning to the quarter and starting here in Las Vegas. Demand remained healthy in the fourth quarter with table games drop essentially flat against a very tough comp and slot handle up by 13%. Our gaming market share for the quarter grew meaningfully, highlighting the strength and quality of what we offer here in Vegas. Our non-gaming business in Q4 was also strong though it was impacted by tough year-over-year comparisons during F1 week. EBITDA during the event in 2024 was about $20 million lower than in 2023. The lion's share of the difference was due to a decline in RevPAR stemming from lower overall Las Vegas room rates during that event, though it is important to note that in both years, our ADRs were about 50% higher than those of two closest competing properties here in Las Vegas. And our daily EBITDA during the 2024 event remained materially elevated relative to the years before F1 was a fixture in the market. The F1 team did a tremendous job with this year's event, and with the event having now settled in, we have a good baseline from which to grow in future years. More recently, demand in January looked good with both drop and handle up year over year and ADR and SMB covers both up year over year. Course, this year, we didn't have the benefit of hosting the Super Bowl here in Las Vegas, which impacts February. And that's about a $25 million EBITDA headwind for Q1 versus 2024. Excluding Super Bowl weekend, all of our key volume metrics metrics are up year over year. Looking further out, we already have our budgeted group and convention room nights for 2025 on the books at healthy ADRs. And transient booking demand over the last two weeks has been extremely robust. When coupled with a calendar that is once again chock full of large demand drivers in the market, the setup for 2025 feels good. The team at Wynn Las Vegas continues to set the standard and with new food and beverage openings later this year, including the much-anticipated opening of Zero Bond, a planned renovation of the Encore Tower and other relatively modest targeted investments We will exit 2025 even stronger and with limited remaining CapEx on the horizon. Turning to Boston, Encore Boston We were encouraged by particular strength in our slot business where handle was up. 6% This helps set a new all-time property record for slot revenue. Offsetting some of the union-related payroll increases incurred in 2024. We continue to grow the database and stabilize some of the recently opened with the property's best days ahead. More recently, demand in Boston has remained healthy through January led by strong year-over-year growth in slot handle, and stable non-gaming revenue against a tough comp. Turning to Macau, we generated $293 million of EBITDA during the fourth quarter, down about 1% year over year. And up 11% sequentially. While the market in Macau continues to be competitive, we remain disciplined in our focus on maximizing EBITDA and main We recently completed the rollout of digital tables throughout Wynn Palace and Wynn Macau which will yield OpEx benefits and when coupled with our data science and machine learning capabilities should allow us to be more precise and more efficient with reinvestment over the medium term. On the CapEx side, we made a number of improvements and optimizations in Macau in the fourth quarter most notably an expansion of the Chairman's Club at Wynn Macau, a gaming area focused on our best customers. We will also soon be adding a variety of food and beverage offerings in Wynn Palace with the opening of our destination food hall, a development that we believe will drive incremental visitation and footfall to Wynn Palace. Also continue to advance design work and approvals on the remainder of our concession related CapEx. The event center, the theater, and a production show at Wynn Palace. More recently, January was characterized by healthy mass table drop, strong direct VIP turnover, and full occupancy in the hotels while Chinese New Year saw a more prolonged period of visitation and less concentration on specific days than we saw in 2024. In fact, for the fourteen days beginning January twenty ninth, and including the days after the holiday period, volumes were healthy with drop and turnover in line with 2024 and slot handle up. During the period was choppy, but volume indicators look good. Turning to Wynn Almarjean Island in the UAE. Construction is rapidly progressing on the project with work now reaching the thirty fifth floor of the hotel and over 4.6 million square feet of concrete and steel in place. As we discussed at our Investor Day in October, we believe the UAE will be a $3 billion to $5 billion gaming market over time, and certainly the most exciting new market for our industry in decade. To support this project and the early work we are doing to build our database and brand awareness in the region, We were pleased to announce in early January that we entered into an agreement to purchase Aspenols in Mayfair, London. This small but strategic asset provides a presence in Central London where many of our future Wynnum Marjan customers spend a meaningful amount of time. Lastly, we are actively exploring and well positioned to capitalize on additional new market opportunities in attractive gateway cities. And we have strategic land banks in each of our new markets that provide an embedded long term growth pipeline. Meanwhile, our leverage profile continues to improve as free cash flow grows allowing us to increase the return of capital to shareholders through the recurring dividend and meaningful share repurchases. With that, I will now turn it over to Julie to run through some additional details on the quarter.
Julie Cameron-Doe: Thank you, Craig. At Wynn Las Vegas, we generated $267.4 million in adjusted property EBITDA on $699.5 million of operating revenue during the quarter. Delivering an EBITDA margin of 38.2% EBITDA was down 1% year on year, and revenues were up slightly on a difficult comp from 2023. Higher than normal table games hold positively impact EBITDA by a little more than $30 million in the quarter. While volume metrics were positive with drop essentially flat year on year and slot handle up 13%. OpEx excluding gaming tax per day was $4.4 million in the quarter up about 1% compared to the prior year. The team in Las Vegas continue to exercise strong cost discipline have largely mitigated the bulk of our union related payroll and other benefits increases without impacting the guest experience. Turning to Boston, we generated adjusted property EBITDA of $58.8 million down year over year on a tough comp on revenue of $212.7 million? With an EBITDA margin of 27.7% We've stayed very disciplined on the cost side. With OpEx per day of $1.17 million up only 2% year on year despite labor cost pressures in that market. The Boston team have also done a great job mitigating union related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience, Our Macau operations delivered adjusted property EBITDA of $292.8 million in the quarter. On $926.6 million of operating revenue. Resulting in an EBITDA margin of 31.6% in the quarter.
Operator: Higher than normal VIP holds benefited EBITDA
Julie Cameron-Doe: by a little over $12 million in the quarter. OpEx excluding gaming tax was approximately $2.59 million per day in Q4. Up 1.2% year on year. The team has done a great job staying disciplined on costs and we remain well positioned to drive strong operating leverage as the market continues to grow over time. Terms of CapEx in Macau, currently advancing through the design, planning and approval stages on several of our concession Commitment. And as we noted the past few quarters, these projects require a number of government approvals creating a wide range of potential CapEx outcomes in the near term.
Craig Billings: As such, we now expect total CapEx spend in 2025
Julie Cameron-Doe: inclusive of our concession related commitments and other projects, to range between $250 million and $300 million Moving on to the balance sheet. Liquidity position remains very strong global cash and revolver availability of $3.5 billion as of December thirty one. This was comprised of $1.8 billion of total cash and available liquidity in Macao, and $1.7 billion in the US. The combination of strong performance in each of our markets globally with our properties generating nearly $2.4 billion at 2024 adjusted property EBITDA, together with our robust cash position, creates a very healthy consolidated net leverage ratio of just over four times. Our strong free cash flow and liquidity profile allows us to reduce leverage while returning capital to shareholders. To that end, the Wynn Resorts, Limited Board approved a cash dividend of $0.25 per share payable on March fifth 2025, to stockholders of record as of February twenty fourth. As Craig mentioned, we also repurchased 2.14 million shares for approximately $200 million during the bringing our total share repurchases for a year to 4.35 million shares for an aggregate cost of $386 million These share buybacks, together with our recurring dividend, highlight our focus on and continued commitment to prudently returning capital to shareholders. Finally, we spent approximately $127 million on CapEx in the quarter, primarily related to the villa renovations and food and beverage enhancements in Las Vegas, concession related CapEx in Macau and normal cost maintenance across the business. Additionally, we contributed $99 million of equity to the Wynn Al Majan project during the quarter, bringing our total equity contribution to date to $631.7 million We estimate our remaining 40% pro rata share of the required equity is approximately $700 million to $775 million fully loaded for capitalized interest
Operator: Please
Julie Cameron-Doe: certain improvements on the island. Importantly, we recently announced we finalized a $2.4 billion financing package for the project from a diverse group of globally recognized lenders, This landmark transaction is the largest hospitality finance in the history of the UAE and indicative of the broad support for this project from the financial community and beyond. We're very grateful for the support of our lenders and with the financing now in place, have achieved a significant milestone on the path to opening the project that's planned in early 2027. With that, we will now open up the call You and I.
Operator: Thank you. To ask a after the prompt, and I will introduce you for your question. Please limit yourself to one question and one follow-up question. To withdraw your question, press star two. Our first question comes from Carlo Santarelli from Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, Craig, Julie. Everyone's Craig, if I could just start with with kind of a, I guess, a a question that that's more focused on Las Vegas. But when you are you know, giving that that headwind or in this case, the the the tailwind from kind of favorable hold, what win rate are you putting that back to? Is that like a 22% embedded table hold?
Craig Billings: Yeah. That's right.
Carlo Santarelli: Okay. So so my I guess my question is for close to two years now, if you look at the entirety of 2023 and 2024, your whole percentage has been kind of slightly north of of 25%. Now I was just wondering know, it it it feels as though perhaps, you know, the nature has changed a little bit. Clearly, there's been some mathematical changes, but also seems as though that the it's used higher more more often than not. So I'm kind of wondering if we're doing the right thing at this point by continuing to kind of knock down posted results by a number that you've achieved. Well, that's a good question, Carlo. And
Craig Billings: you're right. We tend to be pretty conservative. I think that's true by the way, not just in Las Vegas, but also in Macau. Based on side beds, tie beds, you know, cash that gets dropped at at at the VIP tables and not just rolling So I think your point's a valid one, and we certainly will
Carlo Santarelli: Great. Thank you. And then you know, obviously, one of your your peers in Las Vegas last night had very positive comments on January. You guys made positive comments on January and kind of the February period to date ex the Super Bowl. Should we take from those comments that from an EBITDA perspective, you are seeing growth in January and February with exception of of that Super Bowl period or is it still kind of you're seeing top line growth, you're seeing growth in in certain channels, and there's some cost pressures that you're trying to offset? Or is it is it kind of flowing through to EBITDA at this stage?
Craig Billings: Yeah. Well, first of all, you're you're right. January, as I mentioned in my prepared remarks, January was good. And Super Bowl is not comparable. So, you know, what I would say is we were up year to year in all of the key volume indicators really if if you took it from a week ago, right, the day before, Super Bowl weekend started, We were up across the board. So that that to me is what's indicative of what's happening here in Las Vegas from a demand perspective. On the expense side, I think you've seen us be pretty good about managing the impact of cost pressures. You can see it in the 2024 results and driving pretty healthy margin.
Carlo Santarelli: So
Craig Billings: we feel good about Q1 other than the point that you raised, which is the Super Bowl hit win.
Carlo Santarelli: Great. Thank you. And then I if I could, one quick one on Macau. And I know obviously market shares are not something that's you guys focus on. Whether it's as it pertains to GGR market share. In terms of the competitive environment, you noted in your remarks that it remains competitive. It's always kind of competitive to an extent. But anything you're seeing as you look out to 2025, that would would move the needle one way or another in terms of of the the competitive nature of the market and how it impacts win.
Craig Billings: No. I think it's if you're you're correct, and we've said it as well. It is a highly competitive market. Competitive but stable. I don't think that there's there's anything unusually crazy going on, but you're correct. We've been again, we've said it many times. We're focused on EBITDA and margin. And that's what we think about every day. We know what our reinvestment is down to the base point? And we will modulate it as we feel like we need to in order to to drive the best EBITDA results we can.
Carlo Santarelli: Great. Thank you very much.
Operator: Next, we'll go to the line of Shaun Kelley from Bank of America. Please go ahead.
Shaun Kelley: Hi. Good afternoon, everyone. Thanks for taking my question.
Craig Billings: Craig or or Julie, just maybe we could ask about kind of keeping with Macau for a minute. As we zoom out, I think there's been a lot of discussion around pretty good footfall, you know, into the market during Chinese New Year, but some questions about spend per visit and and maybe is that, you know or reflection of anything on on the macro side. Kinda, can you just give us the the the bottom outlook of how you're seeing kind of the just behavior in the market act right now and just kind of your general sense of Thanks. you know, health, especially as you look across segment premium mask versus base mask?
Craig Billings: Sure. Pre the higher end premium is certainly outperformed base mask during during Chinese New Year. That that's that's definitely the case.
Julie Cameron-Doe: And and, you know, it could be
Craig Billings: could be the economy. There's a lot of lot of crosscurrents in the economy know, it's difficult to read. There's been modest stimulus Obviously, the economy is is, has seen stronger days in general, but I think it's fair to say that the premium customers outperform base best, at least for us. That's not commentary on on obviously the the entire market. And that's fine for us because that's our customer base. Great. And then maybe just
Shaun Kelley: a short follow-up. You mentioned in the prepared remarks the acquisition in London, quite a unique opportunity there. Craig, are there more sort of either bolt on opportunities like that, places you could look to opportunistically expand the brand short of know, kinda you know, full scale IR development. Just how do you see that? I know it's probably very unique, given, again, sort of the the global customer that probably you know, does do business in London, but just Yep. Could you broaden that out for us? Because it's it is unique. It's obviously something, you haven't explored before. I'm kinda curious how you're thinking about it.
Operator: Thanks.
Craig Billings: Sure. Yeah. It is unique. And and I think characterize it well. This this acquisition was really about establishing the presence in a key global gateway city. In a part of the world where when taken together with Wynn El Marcheline Island, we're building a meaningful business.
Shaun Kelley: So the two when you put the two properties together, they're gonna serve an area which is home to
Craig Billings: 2.5 billion people and 40% of the world's millionaires. So you you really should think about this as a part of Wen El Marjan, and in fact, the business will report up to Wen El Marjan.
Shaun Kelley: Thank you.
Operator: Next, we'll go to the line of John DeCree from CBRE. Please go ahead. Hi, everyone. Congratulations on the
Craig Billings: quarter and another successful year.
John DeCree: I wanted to ask
Craig Billings: about the gaming customer, the gaming volumes in Las Vegas.
Brian Gullbrants: In the four Q. I think know, quite a bit stronger than we were expecting a table drop about flat and slot handle was up nicely. I think MGM spoke to that as well. So curious if you could was that F1 customer kind of stable? Did the F1 customer play more slots, or was it kind of strong slot volumes across the whole quarters, kind of get a sense of was it a couple events that maybe drove that that swap volume or are you just seeing know, really good. No. Healthy play in slots all quarter and from your customer base. Yeah. It was it was
Craig Billings: not F1 in particular. It was broad based broad based strength. Across the quarter. And to us, it's indicative again, of healthy demand, not just in the market, but for what we offer.
John DeCree: Thanks, Craig. Maybe one on margin. Obviously, financing is now
Craig Billings: Complete.
John DeCree: And you're already in full speed ahead, but, you know, what are kind of major milestones we should think about between now and and early 2027? I think topping off might be, you know, targeted for the end of the year just curious what we should keep our eye on in terms of of major milestones from here.
Craig Billings: Yeah. So you're right. Topping off is is towards the end of this year. And subsequent to that, we actually will be spending more time with the sell side. And interested buy side folks on Wynnum Marjan we'll likely be arranging a market trip So that would probably be the next point at which you'll wanna be on the lookout because it's important that folks understand Really, the amazing all the amazing things that are happening in the UAE and in Dubai in general, the the prevalence of of high value food and beverage of luxury hotels there, and really the power of that market. So stay tuned because we'll be we'll be dragging folks out there to the extent that they wanna come.
John DeCree: Fantastic. Thanks, Craig. I'll pack my bag.
Craig Billings: Thanks, John. Next, we'll go to the line of David Katz from Jefferies.
Operator: Go ahead.
Craig Billings: I'm calling shotgun. It look, I wanted to ask something just a little longer term. Right? You know, Almarjan you know, I think is starting to define itself. Is obviously discussion About you know, whether New York is still know, a possibility. Can you just walk across the field of other opportunities that know, you would seriously consider you know, in lieu if if New York did not happen,
Shaun Kelley: Or
Craig Billings: you know, where where you would turn your might turn your attention next. Yeah. Sure. You know, we're a little bit unique in that we build very big battleship style, assets. Right? We generally don't do small development. The US regional gaming market is, is a a tough market. The the opportunities left there are primarily infill. And you have the potential cannibalization of from online gaming. So I think the US regional market has stopped. So what do we have before us? We have Marjohn. We have a land bank in Marjohn, a very substantial land bank in in in Marjean, and we've seen the power of land banks in new markets. Particularly Macau. In the mid two thousands. We are active in Thailand, though it's it's early days. You're right, we're active in New York, but we won't be subject to winter's curse. In New York, and we're being very disciplined in terms of how we think about New York. And then we obviously have a very substantial land bank here in in Las Vegas. We have years and years and years of growth ahead of us. I often get asked why aren't you moving on the land in Las Vegas right now. And the reality is That from a capital perspective, from a bandwidth perspective within our amazing design and development team, there are only so many things, frankly, that that one can do at once. And then, of course, there are opportunities that come along that are time bound. Like, if, you know, if Thailand does move ahead, for example, you wanna you wanna make sure that you're in a position to participate. So we have a lot of opportunities. Right now, we're very focused on Wynn Arjun. It's a brand new market You've seen the you you've seen the research you may have published yourself, David. They you know, it's a it's a three to five billion dollar market, and it's tremendous opportunity for us. So that's where we're very focused at the moment. Understood. And if I can just follow-up You know, I candidly, I was thinking about Las Vegas. You know, given that the land has, you know, has has been part of the holdings for a while, maybe we could just talk a bit about the sort of puts and takes. And and how much do you think about sort of timing and and when's positioning there? And you know, what it would take to get that piece of land going. Yeah. Timing has to be right for our global Right? We we have to think about the entire the entire portfolio and make sure that that that we can execute it and execute it well. The market is just now absorbing capacity from from two openings over the course of really the past four years, five years.
Shaun Kelley: And we have to make sure that we are in a position to do something
Craig Billings: that addresses an adjacent customer base We obviously don't wanna cannibalize ourselves, and we don't wanna create you know, win Las Vegas two dot o. We need to make sure that we have our market positioning right and we have a very clear view of what that market positioning is. We've done early studies and and and early doodles, if you will, on what we think that that land could hold. And, you know, at this point, I would say stay tuned. Again, we would appreciate it if everyone was as focused on Wynn Elm Marsha had as as we are. Because that is that is quite the opportunity, and we'll see how we proceed from there. Okay. You. Sure.
Operator: Next, we'll go to the line of Robin Farley from UBS. Please go ahead. Great. Thanks. Some others in Vegas have have talked about thinking they can grow EBITDA despite the tough comp with Super Bowl last year. I don't know if you have any thoughts on that. I know know, obviously, you have some renovation disruption. At Encore, and so maybe that's not how you would see it, but, Chris, for your take on that.
Brian Gullbrants: Sure.
Craig Billings: Look. What I would say is excluding Super Bowl weekend, which again was impossible comp, all of our key volume metrics are up year over year. If we look out, again, as I mentioned in my prepared remarks, as we look forward, we've got a a great group room base at healthy ADRs. We've seen very strong transient booking demand of late. Actually, the over the course of the past ten days, seven of them have been higher than any booking rate over the past two years of of daily room bookings. Retail sales were up 3% in January on incredibly tough comps. In our building here. And our restaurant and banquets business is flat to last year despite the absence of Super Bowl. So we, you know, we don't give guidance, but we feel very good about about where we are in the setup for 2025.
Operator: Okay. Thank you. And then just on Thailand, have you specified which entity would be pursuing something in Thailand?
Craig Billings: We have not, but I can tell you it would happen out of a subsidiary of Wynn Resorts, Limited. The US listed it.
Shaun Kelley: Okay.
Operator: Great. Thank you.
Shaun Kelley: Sure.
Operator: Next, we'll go to line of Dan Politzer from Wells Fargo. Please go ahead.
Craig Billings: Hey. Good afternoon, Craig and Julie. Thanks for taking my question. Another one, I guess, you asked a different way on Vegas. Right? I mean, table drop, I think it was basically flat year over year relative to to F1 and and slot handle seems like it's accelerating. Craig, I guess, relative to three or six months ago, what what do you feel like has fundamentally changed, if anything? Because it it certainly feels like there's a much more constructive tone here. Is it it customer base or this you know, are people coming back and spending more? What kind of what kind of do you see relative to kinda, you know, maybe prior conservatism Well, I don't think our tone be clear, I I don't think our tone has changed much. I think we've been saying kind of the same thing for the past two years, which is trees don't go to the sky, but Things look Really good. So know, we we've I mentioned at the outset of my prepared remarks all things that we have done over the course of the past three years to really strengthen our position in this market. And certainly, you know, to a certain extent, we go as Vegas goes. But we've been we've been outperforming we been outperforming the market in general. You can see that on an EBITDA per room basis. And really that's across all of the different businesses that sit sit under this group. So I don't think a whole lot has changed. I think we have we have great demand across the board. And you can see that in our results. Craig, if I could add on the spot side, we've actually made some material improvements We've expanded our high limit room We focused on the mix of games we offer our customers, and we've really leaned into service. So when you look at what we're doing on the slot forward slot forward to drive that incremental I would give it to the team and to wind design and development. We're building a a a much better box and continuing to improve on what we do. That's a good point. Right. Thank you.
Brian Gullbrants: Got it. And then and then just
Craig Billings: turning to the capital allocation, obviously, pretty active in the quarter terms of the share repurchases and even as it the first quarter. I mean, is there a leverage threshold which, you know, to think about the amount of capital you would allocate here. You know, is there a max you'd take it up to? Because it it just seems like, you know, obviously, at these levels, if you like, did it not $91 in the fourth quarter, you you love it at eighty. I think that that's the last portion of your your question is a fair assessment. You know, we don't publish leverage targets because we will lever in place a EBITDA to build new EBITDA. But what I would say is that that our leverage levels now are are very, very comfortable across the portfolio. Our fixed coupons relative to where rates are now give us incremental comfort And so we're gonna continue to support the stock while know, we're gonna get while the getting's good, if you will. And we will continue to do that. Julie, would you have anything?
Julie Cameron-Doe: Can you talk at all?
Brian Gullbrants: Thanks so much. Sure. Next, we'll go to the line of Steven Grambling from Morgan Stanley.
Craig Billings: Hi. Thanks. Maybe a couple of follow ups here. Just one on the the buyback. Sounds like You got obviously, capacity on whatever that hypothetical upper bound is, and maybe there is one
Stephen Grambling: when it's not buying or building a a property. But if if you don't get the response that you you want and the stock kinda stays in place, are there other options you have or would you consider other alternatives to unlock underlying value.
Craig Billings: for Well, we're not buying back stock an immediate market response. That's that's not what what we're up to. Right? We're buying back stock because we believe it's a it's a good value in the long term term, and we're thinking about the long term. So so that, you know, that that's my response to the first portion of your question. We've talked many, many times before about the fact that we are not believers in APCO Procter and in the the the sale of real estate. Because we view it really as a financing transaction as opposed to unlocking value and the creation of value. So what we're gonna do is continue to support the stock with buybacks while the value of Wynn Almarjean crystallizes. And while multiples remain suppressed,
Stephen Grambling: Makes sense. And then one other one, I may have missed this on the Vegas OpEx comments, but what are some of the mitigation factors that did put in place to offset some of the the wage inflation we've been seeing. And how would you generally characterize net operating expense growth in 2025?
Craig Billings: You know, mitigation is as as they say, a river of nickels. It's not one or two or three things that I could outline for you
Brian Gullbrants: it's a hundred different things.
Craig Billings: And, you know, when we do mitigation, we're very careful to make sure that the customer doesn't Seal that. So I I can't point to one or two particular things.
Stephen Grambling: In 2025,
Craig Billings: We have a much more modest increase in in in union related costs. We will figure out how to save that. And then, you know, depending upon what happens with inflation, what happens with tariffs, we could have an impact on some input costs, but that's primarily on the food and beverage side and that really comes down to procurement and sourcing. And how we plan and manage our business. So I think it's hopefully, it's become clear That's four or five years in now, that we know how to manage OpEx without damaging the brand.
Stephen Grambling: Fair enough. Thanks so much.
Shaun Kelley: Sure.
Operator: Next, we'll go to the line of Steve Wiesinski from Stifel. Please go ahead.
Craig Billings: Yeah. Hey, guys. Good afternoon. So so, Craig, if I can stay on OpEx, but switch over to to Macau. It it came in a little better than than, you know, what we were kinda thinking or or kinda guessing where it would be.
Stephen Grambling: Can you maybe help us think about, you know, how you're, you know, how you're thinking about the cost structure for, you know, for Macau this year and
Craig Billings: you know, maybe kind of what you're thinking from a from a OpEx per day standpoint? Yeah. Sure. I'm not gonna not gonna provide OpEx per day guidance, but what I would say is that very similar to Las Vegas. It's the, you know, it's the day to day hand to hand combat of managing OpEx, staffing, scheduling, etcetera, etcetera. And we've called out previously that OpEx can be impacted by some of the non gaming programming that we that we have been doing over the course of the past couple years. And so you can get a little bit of lumpiness from quarter to quarter. But but, really, it comes down to extremely good management.
Stephen Grambling: Thanks for that, Craig. And then second question
Craig Billings: if I if I can go back to the the the buyback real quick and maybe ask the this question a little bit differently. But just wondering how you're thinking about Balancing the buyback versus, you know, with this with this stock here in the the low eighty, let's call it, you know, buying back shares here versus investing capital, you know, in new projects. I'm just trying to get a sense for you know, how you're how you're going about that today, Craig, that Makes sense.
Julie Cameron-Doe: Sure.
Craig Billings: Well, fortunately, we're in a position now from a liquidity perspective and a leverage perspective where we can we can do both. And so, you know, we obviously, when Amarjan is well planned, the budget a significant portion of the budget is bought out. We know exactly where that's gonna land. And you saw us extremely active in Q4 and Q1 in the market from a buyback perspective. You Julie mentioned the amount of system wide liquidity that we have. And so, really, it comes down to incremental incremental new projects that we that we might take on. But even if we even if we did so, right, you you have to imagine that from a and development perspective, those take time. And so the capital spend for those, it is, you know, is several years out. So as I said again in my prepared remarks, while multiples remain suppressed, while, you know, much of the market, much of the the buy side continues to look to a very select number of stocks to to drive returns because they're benchmarked against those. And we understand that. And until we get the realization of value for Wynnum Arjan, we're in a position where we can and will buy back.
Stephen Grambling: Gotcha. Thanks for that color, Craig. Appreciate it.
Operator: Next, we'll go to line of Brandt Montour from Barclays. Please go ahead.
Brian Gullbrants: Afternoon, everybody. Thanks for taking my question. I just on loss Vegas, the refresh and the renovations, I was curious if you could just, flesh out, you know, timing, sort of rooms, out of service, and the cadences of that work, and you know, is this the kind of thing that we'll be calling out as, in quantum any sort of disruption in a couple quarters, or do you think you could manage through it?
Craig Billings: Well, for I'll I'll I'll start and then I'll ask I'll ask Brian to comment as well. So first of all, we do it in the depths of we generally do it in the depths of summer when we have the most flexibility and the most most capacity We we try to do it in a way where we're essentially taking out three floors at a time, the floor that's being renovated and then the one above it and the one below it to minimize
Shaun Kelley: disruption.
Craig Billings: Brian, do you have anything you would add in terms of potential EBITDA impact or rooms out of service? Now there may be a slight impact, but we're planning on launching this with WDD at the end of the summer. And anticipating about a twelve month process. To try to reduce the impact at all possible as much as we can. But it's multiple floors, and as Craig said, there's there's a couple floors just to make sure that we can ensure the right level of service and minimal interruption to all of our
Brian Gullbrants: fantastic guests. And and when we you know, during periods of peak demand, during obvious times
Craig Billings: when we should be in a position to run very high occupancy we'll cease we'll cease the renovation work and essentially utilize two floors in and around the floor that's being renovated. So the disruption we we won't we're not gonna call out the disruption specifically. Okay.
Brian Gullbrants: That's that's super helpful. And then I wanna ask a question about room rates. You know, I understand that the the view is that there hasn't been any sort of trend change, maybe post election Obviously, the tone of you and your peers, had it's gotten a little bit better post that event. But, you know, your room rates are are sort of tied
Shaun Kelley: to the rest of the market. I'm curious if, you know, it felt like the fall in the fall, it was a little squishier out there, maybe away from you, and maybe things
Brian Gullbrants: have gotten a little bit better into the into the new year. But any any kind of commentary on the
Craig Billings: Yeah. I don't think we're in a position to comment on the market as a whole because we're only 4700 keys out of a hundred fifty thousand keys. What what I would say is that certainly in Q1, you're gonna see in our reported Q1, you're gonna see a decline in ADR, but that's really because of the Super Bowl. The Super Bowl rim rates are absolutely off the charts. The our our pricing power throughout
Shaun Kelley: Q4 felt
Craig Billings: incredibly good. And continues to feel good as we move into to 2025.
Brian Gullbrants: Great. Thanks, everyone.
Operator: Next, we'll go to line of Chad Beynon from Macquarie. Please go ahead.
Craig Billings: Hi. Good afternoon. Thanks for taking my question and thanks for putting up the slide deck. Wanted to direct the attention to to slide twenty where you lay out the the CapEx projects. In in Macau, the the concession arrangements here. Can you just kinda help us think about maybe some returns that you're planning on on getting on on on these investments The 2026 one is obviously much larger, and that's much farther out in terms of thinking about the financial impact but just wondering how that kind of fits into the the long term growth strategy and, and and and, you know, how that brings in a premium customer at that
Brian Gullbrants: Point Thanks.
Julie Cameron-Doe: Thanks, Chavy. I'll take this one. We've been talking for some time about the commitment we made with the concession, and and, obviously, we've made a commitment of $2.6 billion over the next ten years. Given given we hit the threshold there with $1.6 billion of that being being CapEx. And we've laid out on page twenty in the presentation the big three items that we are that we're that we're that we're putting out here. We we've made a lot of progress on the destination food hall, which is internal to Wynn Palace. So, you know, it didn't require us to seek the approval for for land use. The the larger projects that we're doing that do require those approvals you know, have we're still we're still in that process. Of of seeking those approvals. And that's one of the reasons that you know, I've become a bit repetitive of giving my my range of CapEx for those things. We've been very deliberate in how we've identified what we want to build in Macau, we're very, you know, we're very focused on it staying within the Wynn brand and very much Wynn IP focused. So we're pleased with the projects that we've laid out here. In terms of the ROI, I'm afraid it's still too early to get to specifics. You know? But, you know, like I say, these projects are gonna be completely consistent with our brand. And and with the non gaming elements that we deployed really successfully in Vegas, know, our experience we've we've got great experience here in Vegas, you know, proving that's additive non gaming amenities drive really meaningful visitation to our properties, and ultimately that drives long term you know, strong long term returns for us.
Shaun Kelley: And for our shareholders.
Craig Billings: If you look at what's been happening in Macau so first of all, on the on the food hall that we'll be opening here, Historically at Wynn Palace, we have been
Brian Gullbrants: Light
Craig Billings: If you will, on more casual dining options. And so it it it fits very well. And the way that we will be programming it, which will be somewhat innovative, and we'll we'll talk more about post opening we believe that it will drive incremental footfall and incremental visitation in and of itself. The second trend that's I think is clear in Macau is that entertainment really resonates. And that entertainment drives market share. I think you can see amongst some of our our competitors, and and, like, again, admittedly, we don't have those facilities. You can see among some of our competitors there in the gal, that when they program entertainment, they are able to drive incremental incremental market share. And so if you look at what we are are ex executing for our concession related CapEx, it really is entertainment centric. And candidly, we're not surprised to see this play out in Beaumont because we see it in Vegas the time. So while we're not prepared to talk about, you know, specific ROI on any given project, we certainly are comfortable with the thesis that we will drive incremental revenue out of these
Brian Gullbrants: facilities.
Operator: Okay. Thank you. Appreciate it. And then
Shaun Kelley: back in Vegas, just wondering
Craig Billings: obviously, your your customers have know, a certain level of wealth where this probably doesn't impact them as much. But just given what's happened with FX recently and thinking about the breadth of your international customer base, During prior periods or just kinda looking at your database, do you think that FX will have any impact on visitation or spend or your cost customers just at a level where they're probably not thinking about, you know, small changes to to their pocketbooks. Thank you. No. Not at all. And in fact, if you go back in time you go back to if you go back to if you go back to I mean, if you go back to I don't know. Pick a year. 2017, the year that I joined the company. And you looked at Foxtrot relative to non drop, you would see that we have done an incredibly good job of growing our business in domestic table games and in slides.
Carlo Santarelli: And so
Craig Billings: international business, I don't believe, will be impacted by FX. But we are less we are more diversified and less levered to international business than I think we've ever been in in the history of the property, actually.
Benjamin Chaiken: Thanks, Craig. Appreciate it.
Carlo Santarelli: Sure. Operator, the next question will be the last
Operator: Yes. And our final question comes from Benjamin Chaiken from Mizuho. Please go ahead.
Benjamin Chaiken: Hey. Thanks for taking my questions, Craig, Julie.
Craig Billings: You know, a few months ago, I guess, there were some headlines related to the pace at which UAE will potentially allocate gaming licenses which we're very supportive of your positioning. I'm sure you guys are head down
Shaun Kelley: But any color
Craig Billings: or view on the pace of future competitors to the extent you thought about it and then and then one follow-up on one on Amazon. Thanks.
Shaun Kelley: Sure.
Craig Billings: Yeah. We've talked about this on on prior calls. We we don't believe that every Emirate will avail themselves of potential license. By any means, actually. And as we keep our ear to the ground with your respect to what's going on, we we don't believe that they're
Benjamin Chaiken: is even a deal's drop, frankly, for a a a second license.
Craig Billings: Could be wrong, but we we think we have pretty good intelligence. And so if you just think about the fact that we're opening in March of 2027, you think about the fact that it takes, at a minimum, four years to design design and build an integrated resort, you can imagine that we're gonna have a very, very healthy lead And there's a lot of precedent in our industry if if you look around regional markets in the US actually first to market getting
Shaun Kelley: a lot of sticky database and being able to
Craig Billings: weather a new entrant. Beyond that, again, we we provided the projections that we provided for Wynnum Arjan, assuming a second property And in fact, I I don't we I don't think we would be all that fussed if there was a second property because we believe in the clustering effect We believe that it would be good for the industry. But as of now, we don't see line of sight on that potential second license. That's that's very helpful. Appreciate it. And then and then how do you think of it just stepping how do you think about the most important customer cohorts? Obviously, the acquisition in London is telling I guess to dig a little further, is this an existing gambler
David Katz: or just someone new who wants to pay for hotel and experiences and who may also gamble given the opportunity. And I'm and I'm I'm sure to some degree, it's a if you build it, they will come. Scenario. But I'm just trying to get a sense of how you think about marketing and distribution of the property.
Craig Billings: Yeah. It's a really good question. And my response would be how much time do you have. I guess if I had to really summarize it, what I would say is this. Gaming globally is a question of supply and demand. Really, really simple supply and demand. Gaming is a a a a fundamental human behavior And when supply and demand are out of balance, it's good to be an operator. When supply and demand's are out of balance the other way, then, you know, only the strongest survive. And so for the casino component of the business, having the setup that we have being really the only integrated resort on on this half of the planet,
Benjamin Chaiken: is is very, very beneficial for us.
Craig Billings: And it it's what makes us incredibly bullish. The second thing I would say is that the propensity to spend on luxury hotel and on food and beverage in the Emirates is extremely high. And so we as you will see from the numbers that we produced at our our investor day, We firmly believe that this business will be more akin to Vegas than it will be in Macau where we can drive material non gaming non gaming revenues. The last thing I would say is that you can think of the cohorts for this property really in three pieces. Ross Lahaina has inbound visitation today. Call it by the point we open two million folks per year. In a market with relatively few amenities, And so I would expect that we are gonna get at least a single trip out of a large portion of those those folks that are already coming to Rosalindra. The second cohort would be those who live in Dubai, an incredibly bustling very sophisticated place with extremely high GDP per capita. And the third cohort are really destination luxury travelers, including gaming customers, and that's kind of our bread and butter. I mean, anybody who is a high value customer particularly with the acquisition we did in London, Anybody who's a high value customer globally, we should know. And so our ability to attract those folks and bring them to win, Almarjean, I I I like our odds.
Benjamin Chaiken: Thanks, Craig. Appreciate it. Sure.
Operator: Well, thank you everybody
Julie Cameron-Doe: for your interest in in Wynn Resorts, Limited, and that's that's the conclusion of our Q4 earnings call. We look forward to talking to you next quarter.
Shaun Kelley: Thank you all for participating in the Wynn Resorts, Limited fourth quarter 2024 earnings call. That concludes today's conference. Please disconnect at this time and have a wonderful rest of your day.